Operator: Good morning and welcome to the Dollarama Fiscal 2022 Third Quarter Results Conference Call. Neil Rossy, President and CEO; and J.P. Towner, CFO, will make a short presentation, which will be followed by a question-and-answer period, open exclusively to financial analysts. The press release, financial statements and management’s discussions and analysis are available at dollarama.com in the Investor Relations section as well as on SEDAR. Before we start, I have been asked by Dollarama to read the following message regarding forward-looking statements. Dollarama’s remarks today may contain forward-looking statements about its current and future plans, expectations, intentions, results, levels of activity, performance, goals or achievements or any other future events or developments. Forward-looking statements are based on information currently available to management and on estimates and assumptions made based on factors that management believes are appropriate and reasonable in the circumstances. However, there can be no assurance that such estimates and assumptions will prove to be correct. Many factors could cause actual results, levels of activity, performance, achievements, future events or developments to differ materially from those expressed or implied by the forward-looking statements. As a result, Dollarama cannot guarantee that any forward-looking statement will materialize, and you are cautioned not to place undue reliance on these forward-looking statements. For additional information on the assumptions and risks, please consult the cautionary statement regarding forward-looking information contained in Dollarama’s MD&A dated December 08, 2021, available on SEDAR. Forward-looking statements represent management’s expectations as at December 08, 2021, and except as maybe required by law, Dollarama has no intention and undertakes no obligation to update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. I would now like to turn the conference call over to Neil Rossy.
Neil Rossy: Thank you, operator, and good morning, everyone. Dollarama delivered a solid performance across key metrics in the third quarter of fiscal 2022 and in the context of the ongoing pandemic. We are pleased with our comparable store sales growth, both year-over-year and on a two-year average basis. Last year, we had exceptionally strong sales with SSS growth of 7.1%. This was notably driven by pandemic fueled demand for Halloween products and a pull-forward of Christmas sales, also recorded over and above a 5.3% SSS growth the prior year. Positive SSS this quarter was also particularly welcomed immediately following the disrupted second quarter. As you will recall, last quarter, we were significantly impacted by a ban on the sale of nonessential goods in Ontario in effect from April 8th to June 11th, coinciding with peak spring seasonal sales. The third quarter represents somewhat of a return to a more normalized situation from a pandemic perspective. There were fewer restrictions in place, and no restrictions on the sale of goods or on specific retail channels. We also delivered strong EPS growth and an industry leading gross margin. This is despite the various headwinds which continue impacting the retail sector, namely supply chain pressures and cost inflation. In this context, and given two consecutive years of strong comps in fiscal 2021 and fiscal 2020, we feel good about our Q3 performance in fiscal 2022. And we believe we are very well positioned for Q4, which is historically our most significant sales quarter. There is no doubt that when not restricted, Canadians rely on Dollarama as a destination for value and convenience, whether for everyday or seasonal goods. This was true before the pandemic and has only been reinforced since. We regularly survey our customers to ensure that our offering and context resonate with them. We’ve pursued that work through the pandemic and what we consistently hear is that a broad range of Canadian families and consumers appreciate the breadth and depth of our offers and the value we provide for their hard earned money. Our customers also appreciate the proximity and convenience we provide in a time-pressed world. These results reinforce our conviction and the relevance of our brand and strong value proposition to Canadians. As we all learn how to navigate the ups and downs of COVID, we are also pleased to see a gradual reversal in traffic trends with a continued uptick quarter-over-quarter in the number of customers visiting our stores. Our direct sourcing expertise, flexible merchandise mix, and multi-price point strategy are not only what make Dollarama a sought after shopping destination, they are important levers as we manage through the headwinds that the retail industry is currently facing. Looking at the global supply chain including disruptions in container shipping, our position is consistent with last quarter. For fiscal 2022, our teams have done an excellent job, mitigating supply chain pressures, both from an operational and cost perspective. Despite the disruptions and delays in the system, our nimble and proactive approach has ensured that we entered the fourth quarter in a solid inventory position, with well-stocked stores ahead of the important holiday season. Keep in mind that we are importers as much as we are retailers. This coupled with the nonperishable nature of our merchandise mix does provide us with some added flexibility to mitigate current supply chain challenges. On the retail front, we opened 16 net new stores during the third quarter. This brings our year-to-date count of new store openings to 41 and our total store count in Canada to 1,397. We do expect a particularly busy fourth quarter on the real estate front as has been the case in the last few years. We are on track to hit our target of between 60 and 70 net new stores in fiscal 2022, which means we’ve got 20-plus stores slated for opening in Q4. Finally, looking at our investments in Dollarcity, our 50.1% pickup of their net earnings was $7.3 million, compared to $4.3 million in the same period last year. This increase reflects the disciplined execution of their growth strategy, continued strong consumer response and their ability to navigate the impacts of the pandemic in their countries of operations. New store openings continue in all four countries of operations with a focus on Colombia and now Peru, which is still in its very early stages. During their third quarter ended September 30, 2021, Dollarcity opened 18 net new stores, bringing their total store count to 312. Year-to-date, I am proud of what the Dollarama team has accomplished, and our adaptability and what continues to be a complex environment. I am also pleased to see that quarter-to-date our holiday assortment has been well received by our customers. We are proud of the unique role we play in the Canadian retail landscape. We will continue to be proactive in managing supply chain and cost inflation headwind to ensure our customers get the value they expect, while shopping are conveniently located stores. I’ll now hand it over to J.P. to discuss our results in more detail.
J.P. Towner: Thank you, Neil, and good morning everyone. Like Neil, I’m very pleased with our financial performance of the third quarter of fiscal 2022. Total sales grew 5.5% on the strength of new store openings and from the contribution of same-store sales. Of note, there were no closed stores this quarter, because of COVID-19 restrictions. For the first nine months of fiscal 2022, our sales are up 6.3%. Same-store sales increased by 0.8%, compared to 7.1% in Q3 of last year. On a two-year average basis, SSS growth averaged at 3.9% per year, which brings us in line with our pre-pandemic SSS results. SSS in Q3 consisted of a 2.8% decrease in average transaction size and a 3.7% increase in the number of transactions. This is the second consecutive quarter in which we’re seeing a reversal in those trends. As pandemic restrictions ease just customer traffic is picking up, and we view this as a very positive indication, which speaks to the relevance of our business model. EBITDA came in at $347 million, a 11.2% increase over last year. This reflects positive sales growth, strong margins and lower year-over-year COVID costs. Net earnings were $183.4 million. EPS was at $0.61 per share, representing 17.3% growth year-over-year. This reflects good sales, a solid margin performance, lower COVID-related expenses, and a strong equity pickup from our investment in Dollarcity. Our gross margin came in at 44.4% of sales, compared to 44% last year. Gross margin was higher year-over-year, primarily due to a higher proportion of sales of high margin seasonal products, namely Halloween. For the first nine months of fiscal 2022, gross margin was up 20 bps year-over-year. We continue to expect gross margin to be generally flat for the full fiscal year. In Q4, our product mix should be less favorable from a margin perspective, as traffic trends become more in line with pre-pandemic quarters, think higher sales of lower margin items. Looking at rising container shipping and raw material costs. As previously mentioned, we expect to continue to see these strengths in fiscal 2023. We have levers at our disposal to help mitigate costs inflation impacts on our gross margin. Our responsive inflationary trends will continue to be in line with our usual approach, which is aimed at maintaining our relative value. So, far this year, we’ve seen some of these costs being passed on, as those pressures are industry-wide, and through refresh and markups, we’ve adjusted our pricing strategy. In addition next year, the stronger Canadian dollar is expected to be a tailwind. Turning to SG&A. It represented 14.2% of sales, compared to 15.1% last year. SG&A this quarter includes $1.1 million in direct COVID costs, compared to $10.9 million last year. As a result of fewer pandemic-related restrictions in place, labor hours attributed to managing customer traffic and in-store capacity limits have been reduced. Our health and safety measures, and cleaning protocols, which will remain in place for the foreseeable future, have been absorbed in day-to-day operations. Excluding these costs, SG&A represented 14.1% of sales, which is the same as the prior year. For the first nine months of fiscal 2022, SG&A, excluding direct COVID costs was up 20 bps year-over-year and we are on-track to remain generally flat for the full fiscal year. Looking at the labor market more generally. We’ve seen a tightening in labor availability across the country, but no material impact on average wages at this point. A total of 5.3 million shares were repurchased in the quarter, under our NCIB for $295 million. And at quarter-end, our leverage ratio stood at 2.8 times adjusted net debt-to-EBITDA, leaving ample room to remain active on this front in the final quarter of the year. Since the beginning of a fiscal 2022, we’ve repurchased 13.1 million shares for a total value of $741 million, representing 4.2% of our shares outstanding at the start of the fiscal year. We expect our buyback strategy to continue contributing to our earnings growth next year as the impact of our buyback program annualizes. Finally, yesterday, the Board also approved the quarterly dividend of $0.0503 per share. Turning now to the remainder of the year, we feel good about our performance year-to-date, including the first five weeks of the fourth quarter. From an SSS perspective, fourth quarter-to-date, we’re pacing at the two-year average of approximately 4% per year. We’re pleased with where we are as of today, but keep in mind that our most crucial sales period is still in front of us and many factors outside of our control could have an impact. Barring the factors outside of our control, including the future path of the pandemic, additional measures that may be taken in response to the latest variant, and inclement weather, we’re very confident in the relevance of our brand and our strong value proposition as we move towards a more normalized situation. With that, we want to sincerely thank our employees for their continued dedication and wish everyone safe and happy holidays. Thank you. And I’ll turn it over to the operator for the Q&A.
Operator: Thank you. [Operator Instructions] First question is from Irene Nattel at RBC Capital Markets. Please go ahead. Your line is now open.
Irene Nattel: Thanks, and good morning, everyone. A couple of questions around supply chain to begin. So, I think by now, you’ve probably -- you’ve undoubtedly negotiated your shipping contracts for next year. If you could talk about how we should be thinking about that and how you’re thinking about sort of, I guess, your all-in cost structure for next year?
J.P. Towner: Thanks Irene. This is J.P. So, from a cost perspective, next year, we’ve -- as you know, I mean, the shipping contracts are mostly renegotiated in the fall, but they’re staggered throughout the year. So we’ve negotiated most of them. It’s no secret, as we’ve discussed in the past that next year, we’ll see higher freight costs and inflationary pressures will likely continue as we’ve discussed on prior calls. But our strategy will remain consistent with the past, which is that we’re price follower, we’re not a price setter. The priority will be to maintain our brand promise and to have the best relative value. As you know, and we’ve seen it in Q3, we have the levers at our disposal to manage margin through refresh and markups. The Canadian to USD FX hedge will be a tailwind for next year. And so, in short, our priority will be to maintain our brand promise or relative value when we have the lever at our disposal to adjust, depending on how the competitive set moves next year.
Irene Nattel: And then, just on availability of product. I think on the last call Neil said that Christmas has been in for a while. But could you just talk through where you are right now in terms of sort of the shipping cadence of what the next key dates are, and the degree to which the disruptions in BC may or may not have an impact on Q4?
Neil Rossy: So, I’ll answer the BC piece. And then, J.P. will answer the balance. In BC, other than affects -- the effect of flooding on specific stores, the overall BC sales have not been impacted in any material way. And then, as far as our handling of logistics going forward, J.P. will give more color.
J.P. Towner: Look, if we go back to the Q2 conference call, because I think it’s a good starting point for -- to answer the question. Remember, at that point, we’re dealing with a global container shortage. And we’ve successfully managed that global pressure through, number one, our warehousing and distribution strategy; and number two, our critical mass is one of the largest importers in Canada. So, that allowed us to have a good in-stock position ahead of Halloween, and supported the strong Halloween performance as we’re seeing today in our Q3 results. And so, it also allowed us then to have a good in-stock position ahead of the holiday season. And if you shop any of our stores today, holiday in-stock position is in a good situation. Then, if we move to the BC floods, specifically, I think the same thought process applies, which is, of course, it’s disruptive, it’s highly imperfect, and we’d much rather manage without it. But our teams are using the same strategies that we used in Q2 and in Q3 that I just described, to manage the situation and make sure that we’re ready for our Q1 sales, as the holiday season evolves and Q4 evolves. So, really right now it’s getting ready from a shipping perspective for Q1 and that’s underway based on the strategies that I just described.
Irene Nattel: That’s great. And then, just one final question, because you’d be disappointed if I didn’t ask it. All of this discussion around inflation, how does that play into your current thoughts around higher price points and possibility of higher price points?
Neil Rossy: Well, there’s a number of strategies on the table to address the inflation question. One of those strategies is adding new price points. But for the moment, we have nothing to announce on adding new price points.
Operator: Thank you. The next question is from Mark Petrie of CIBC. Please go ahead. Your line is now open.
Mark Petrie: It would be helpful just to hear your views with regards to the competitive environment and the relative sort of pricing being passed through that you’re seeing today. Is that accelerating? Has it been stable for the last few months? What do you see?
J.P. Towner: It’s an incredibly iterative situation, Mark. As the -- obviously the retailers in the country are all adjusting as required, and every item has a different story, different raw material cost effects on different items. The larger the queue for the item, the higher effect of the challenging freight rates. Really it’s a very, very fluid situation, as the market adapts to the new reality of different costs. Obviously, retailers cannot absorb all of it, and eventually it gets passed on to the customer. And so, what we have as our focus is what we have always had, and that is remaining the best relative value in the market. That is our bread and butter, so to speak. And so, that’s what each of the buyers has been tasked to do is to ensure that whatever we are selling, we are that best relative value in the market.
Mark Petrie: Yes. Okay, understood. And obviously a healthy gross margin results this quarter, you called out the seasonal mix. But you were also lapping a period last year, where seasonal mix was also a tailwind. So, could you just give any color with regard to how much of the boost from last year or the improvement from last year was that seasonal mix versus other factors, like core product margins or FX?
Neil Rossy: Yes. No, it’s really on the mix, Mark. We had a good Halloween last year and we had a better Halloween this year. And so, the mix played in our favor. And to your question earlier, I mean, we’ve seen so far inflation being passed on and we’ve been able to, through our refresh, to adjust accordingly. But it’s mostly a mix discussion here.
Mark Petrie: Okay. And then, I guess, just the last -- just to follow-up on that. As we look into Q4, you reiterated your view for flat gross margins for the year. Obviously, last year, Q4 was a particularly strong result on gross margin, again driven by seasonal. But just given what you saw with Halloween, what gives you caution about the seasonal mix, heading into Q4?
J.P. Towner: Yes. Well, last year in Q4, if we step back, we had, well, first of all, severe capacity limits across the country and the non-essential restrictions in Quebec that kicked in, and mostly impacted January. And so, think of January as a lower margin month. And so, this year, we’ll have, if there is -- barring any unforeseen circumstances, we’ll have stronger sales in January, just as a result of not being restricted and we’ll have stronger sales of lower margin items, because January is a lower margin month. So, the mix in Q4 will normalize, whereas last year it was driven by mix on the back of the restrictions.
Mark Petrie: Understood. I appreciate all the comments as always and all the best heading into holiday.
J.P. Towner: Thank you.
Operator: Thank you. The next question is from Richard of National Bank. Please go ahead. Your line is now open.
Vishal Shreedhar: Hi. Thanks for taking my question.
Neil Rossy: Hi, Vishal.
Vishal Shreedhar: Hi. With respect to Dollarcity contribution, we’re seeing acceleration there in terms of the contribution, at least looking at the last few quarters, which was a year-over-year growth. Wondering if this is a COVID anomaly year-over-year or if there’s any specific issues or I’d like to call it and that Dollarcity business that’s leading to these results?
J.P. Towner: In terms of Dollarcity, I think we’ve seen a good store growth. Consumer reception to our offering and our value proposition has been good in our countries of operations. I don’t think it’s a COVID-related dynamic. It’s really the brand that’s been gaining traction and the value proposition that’s just well received, combined with a very healthy store growth on a lower store count than our Canadian operations. So, as a percentage, that has more meaningful impact. But that’s what it is, essentially.
Vishal Shreedhar: And how were the margins of Dollarcity compared to Dollarama? Obviously, as the business grows, we would anticipate some favorable operating leverage, but give us the delta on, let’s say, EBITDA margin versus as the Canadian business?
J.P. Towner: Yes. Look, as you know, on in terms of disclosure, we don’t go into specifics in terms of margin, but relatively speaking, of course, Dollarama being a more mature and a larger operation has economies of scales, and its logistics, its transport that Dollarcity could gain over time. But there, it’s a business that is performing well. And in terms of margin, there’s economies of scales to be to be gained in the future. But I can’t go into more specific than that.
Vishal Shreedhar: Okay. And just changing topics here, with respect to the media reports on the latest variant of COVID-19 associated concerns, are you seeing any changes in consumer behavior recently in the stores?
Neil Rossy: Not to date.
Vishal Shreedhar: Okay. Maybe a last one here on so SG&A, obviously, a lot of moving parts and the market is reacting very quickly, but with respect to Dollarama’s ability to control the controllables. Are there any major efficiency projects that we should we should be thinking about for fiscal ‘23 to control these various pressures?
J.P. Towner: Well, we always have efficiency, productivity initiatives that we roll out and some of them annualize, some of some of them are new. We keep refreshing, LEDs in stores. We keep upgrading HVACs. We’re working on the new time management system. So, there are many initiatives that we keep rolling out every year. And next year, some of those initiatives will continue to be rolled out across our stores and drive efficiency and productivity as we have in the past.
Operator: The next question is from Brian Morrison of TD Securities. Please go ahead. Your line is now open.
Brian Morrison: I want to go back to Dollarcity, if I can, for a moment. You are seeing this acceleration in earnings, you did it -- put a $4 price point in Colombia back in November 2020. I’m wondering if you plan on expanding that to the rest of the network. And then, with respect to the store growth, I think you have 48 stores year-to-date here. That’s well above your pace and your long-term outlook of 40. I’m wondering if this is an aberration, or if you’re seeing greater opportunities than you earlier thought?
Neil Rossy: It’s a little of both. The question of store counts is really a question of identifying opportunities. And as the leader of that business identifies opportunities in his country, our partners, they will be as aggressive as they can, if those opportunities present themselves. And so, for the time period in question, the opportunities obviously presented themselves and they took advantage of that situation. If it does present itself in a systematic way, then we will update you with guidance to that effect.
J.P. Towner: And on the price point question, the $4 price point has already been rolled out in El Salvador and Guatemala as well.
Brian Morrison: Okay. Sorry. When was that done?
J.P. Towner: It was October. Yes, October.
Brian Morrison: And then, can you just clarify for me? I’m not sure you heard it correctly, J.P. Just the 4% comment on the two-year stack to-date, is that same, that 4% relative to December 8th last year, and that’s before accounting for the COVID restrictions, which made things kind of fall off in the month of January?
J.P. Towner: Yes. I mean, the way to think about it -- and the reason the two-year average is important is because we’re trying to normalize for the noise from the pandemic restrictions last year. And as you pointed out, the nonessential restrictions in Quebec which had a significant impact on our SSS performance in Q4 last year. But really what it means is, if you take the point-in-time Q4 last year and you look at where we are today and average or SSS performance, we’re pacing at the 4% average, and that’s also how we’ve seen the business pace in Q3 with 0.8% and 7.1%, the prior year for two-year average, approximately 4%.
Brian Morrison: Okay. So, I guess, the message here, though is we should see that really grow in as we get through the back half of this quarter, because I believe that you were off to a very strong Christmas start last year -- or Q4 start, pardon me, prior to those restrictions kicking in. Is that a fair comment?
J.P. Towner: I mean, the two-year average will remain and then of course, you’ll -- we’ll see of the two-year average remains, but the business facing at that level. And of course, we’re going to face easier comps in the second part of Q4.
Brian Morrison: Thanks very much. Good luck for holidays.
J.P. Towner: Okay. Thank you.
Operator: Thank you. The next question is from Peter Sklar of BMO Capital Markets. Please go ahead. Your line is now open.
Peter Sklar: Okay. Good morning. Do you mind just elaborating on the labor situation? So, everybody knows about the labor shortage. It seems particularly acute in Quebec. So, are you able to attract employees? Have you had to curtail opening hours in any stores? I mean, have you had to increase wages? Could you just work your way through all that thinking?
Neil Rossy: The labor situation is a challenge, no doubt about it, across the country, not just in Quebec. That being said, to-date, we have been able to manage the situation without having to change our normal course of the way we handle that process. We’ve put more effort into our HR initiatives for job fairs and other like practices to help us garner the attention we need to get the employees we need. But, even though, it’s a greater challenge than it’s been in the past, Johanne and team have done a phenomenal job, keeping the store staff and keeping our staff more importantly happy and in store and keeping the stores open. So, it is more difficult, no question about it. But to-date, it’s been managed.
J.P. Towner: And from a wage perspective, Peter, we haven’t seen any material increase in wages as a result of what Neil just described.
Peter Sklar: Okay. And so, Neil, just to confirm, there’s been no curtailment of store hours.
Neil Rossy: No.
Peter Sklar: Okay. And then, just my -- the other question I want to ask about, there was a discussion earlier about, Dollarama’s long-term strategy in terms of not being a price leader, you’re price follower to make sure you maintain that brand messaging of compelling value. So, can you talk a little bit then, like, how are you seeing that your competitors thus far are handling these increases and COGS inflation? So, I think you look at your competitive set as Walmart and drug stores and certain other dollar stores, do you have any insights yet as to how they are behaving, because you’re going to follow along, as you indicated on what they do?
Neil Rossy: I can’t say that there is a clear picture, to be honest. It’s evolving. It’s still relatively new and will continue, no doubt, going forward over the next 6 months to 12 months. We consider everyone our competitor. So, while we may focus a little more on some retailers, the truth is that entire market is that we compete against. And so, it’s the buyers’ job to shop every retailer in the country and make sure that for the goods we offer versus a tiny subset of everyone’s goods and not necessarily a head-to-head with any particular retailer’s goods that we are competitive on those goods. On some of our more, let’s say, treasure hunt type of goods, the sensitivity to pricing is obviously less than it is on consumable goods. And that allows us to help with our margins. But as a whole, the market is evolving. It’s a constant study. And I can’t tell you truthfully, whether there is any clear message that I’ve gotten out of any retailer, other than they’re all handling different parts of their business differently, but they’re all evolving. And they all have no choice but to evolve, to what’s happening in the market today and the challenges on the cost front.
Operator: The next question is from Chris Li of Desjardins. Please go ahead. Your line is now open.
Chris Li: My first question is, as you continue to scale out your self-checkout kiosks, rollouts to other stores, just curious how many people would that be a tool in terms of helping you mitigate some of this labor pressure for next year?
J.P. Towner: I mean, the way we think about the self-checkout strategy is really as an enhancement to customer experience. We want to make it more convenient and easier for our customers to shop at our stores, and make the Dollarama experience as seamless as possible. But it’s not the -- an efficiency initiative, it’s a customer experience initiative. And it’s been rolled out so far, Chris, in about 20% of our stores. And I’d say, we’ve done the low-hanging fruits in terms of where we’d like to see those self checkouts being deployed. And now, as we continue to progress, we’re assessing every year what are the next stores that make the most sense. But, it’s really on a store by store basis and where it makes a lot of sense based on traffic trends and shopping patterns. So, that’s how we look at it.
Neil Rossy: And I’m very pleased to add that it has been very well received by our customers. And it’s really taken as a very nice alternative, when the lines for our manual cashiers, and cash out is busy. The systems we’ve built in our self-checkouts have been well received by customers, and our self-checkouts accept both cash and credit and debit. So, they’re a full service machine and not limited to specific payment type.
Chris Li: And then, maybe a question on the traffic growth during the quarter. Just wondering, was there the growth pretty much in line with your expectation? And then the second part is, are you seeing sort of a pickup in traffic as a result of consumers to continue look for value in this very highly inflationary environment?
Neil Rossy: So, in terms of traffic trends, look, we’re pleased and we’re grateful to see traffic coming back at a good clip in our stores. We saw it in the second half of Q2, and we commented on it back in September. We’ve seen the same thing in Q3 and so far in Q4, the same trend has continued. So, yes, we’re pleased, and it’s in line with our expectations. I think, we’re not back to pre-pandemic levels in terms of where traffic is, but we’re definitely trending in the right direction and a direction that we’d like to see for our business. Then, to your -- second part of your question, look, I think the value channel with the latest survey that we conducted is still a very healthy and relevant channels for all Canadians, and we definitely have top brand awareness in that channel specifically. So, how will that play out in the future? It’s hard to predict. But we like how we’re positioned.
Chris Li: And then, my final question is, can you provide an update on the progress that your buying team is making to adjust the product offering to mitigate the cost pressures for next year? Thank you.
Neil Rossy: It’s a daily task, that I will tell you is more -- like so many parts of the business for so many businesses at this particular time, it’s just far more time consuming and challenging than it’s been in a very long time, simply because the factors that affect the cost of goods are changing so quickly. And thankfully, that’s not just up, up, up. Sometimes it’s up, up and then down again. So, it’s not just doom and gloom. But, in order to make sure that it’s not up, up, and then no one’s paying attention that it’s going back down, it means that all the buyers need to stay on top of the cost of raw materials and the other factors that are affecting that they’re responsible for sourcing. So, it’s a very iterative process, very fluid again. And again, there’s really -- other than staying on top of -- the sourcing of their goods more than they’ve ever had to do on a more consistent basis, to stay on top of what the right costs are and factors affecting that cost, there’s no general theme or process that I can give you or enlighten you to, just general things that apply to all pieces of our purchasing. So, really, it’s very item specific, very raw material specific, when it comes to FOB costs, very specific things also, like what part of, what country any given items made. So, if an item is made in China, for example, and it’s made in an area where the government is reducing electrical consumption at any given time, well, that might affect the cost of that product for that given period. But, that may stop three weeks later and affect the product in a more positive fashion, from a cost perspective, in really short timeframe. So, there are things like that happening all around the world from the different countries we source from, including little flare-ups of COVID or what have you in different parts of the world where we source goods. And so, it’s a constant study of where we should source goods, which countries, which vendors and just to stay on top of all of those elements.
Operator: The next question is from Karen Short of Barclays. Please go ahead. Your line is now open.
Karen Short: I just wanted to clarify on the sales for 4Q. So, in the first five weeks, you’re comping at 7%, I believe, which should imply the last portion of the quarter, it was your kind of downside. Are you -- you’re trying to say that we should be thinking about a four-year -- or sorry, a two-year average and the 4% range for the entire quarter, is that the right way?
J.P. Towner: That’s the right way to think about it.
Karen Short: Okay. And then, I wanted to ask -- I don’t know if it’s a little early to focus on this, but I know there are so many puts and takes to gross margins just for 4Q alone. But wondering if you could try to frame a little bit on how we should think about puts and takes to both, gross margins and SG&A, as we look to next year, high level.
J.P. Towner: Yes. And in terms of next year being more specific, Karen, it will be discussed, of course, on the next call in more detail. I think, we all know the different tailwinds and headwinds that we’ll be facing for next year. The good news is, so far, in Q3 and in Q4, the consumer is responding very well to our offer, and that’s the fundamental of our business. Then, in terms of inflation and freight, which we have discussed in the past, we have levers at our disposal to manage those. And it will be a function of relative value, how our competitors react. And our goal will be to maintain market share, maintain our value proposition, maintain our brand promise, and adjust as we see the competitive set adjust to cost pressures next year. But, we have the levers at our disposal to manage those pressures, depending on how the competitive set moves, like we’ve done so far this year. So far this year, we’ve seen inflation, we called it out back in March of this year, and we have been managing through those dynamics for a good chunk of fiscal 2022. And we’ve used the levers that we all know about refresh, markups, and all the other ones that we’ve discussed in the past. So, that’s as far as we can go probably in terms of providing color on gross margin.
Karen Short: Okay. And just to clarify one thing. I mean, it seems like the last call, the competitive landscape was very rational and somewhat benign. And I don’t know if you are trying to maybe signal but that was a little bit less so the case in this quarter or not. And I asked that in the context of specifically labor offsetting Ontario wage increases. How orderly do you think the ability it would be to offset that? And is there any change in how you are seeing the competitive landscape?
J.P. Towner: I mean, in terms of your question specific to Ontario minimum wage, I mean, first of all, we need to step back and look about the minimum wage increase as very different than the last major Ontario minimum wage increase, which was more than 15%, almost 20% increase. This time we’re talking about 4% to 5% minimum wage increase, which is in line with the inflation we are seeing in the market. So, it’s not something that we’ll have to actively offset next year. Of course, we have efficiency and productivity initiatives. We will continue to work on to manage that. But, it’s not a major headwind as we’re headed into fiscal ‘23.
Neil Rossy: And it’s the same headwind that every retailer in Ontario has to deal with, that’s our competition.
Karen Short: So, no change in the competitive landscape sequentially though?
J.P. Towner: It’s been fairly stable since Q2.
Karen Short: Okay. Thank you very much. Happy holidays.
J.P. Towner: Thanks, Karen.
Operator: The final question will be from Edward Kelly of Wells Fargo. Please go ahead. Your line is now open.
Edward Kelly: Yes. Hi. Good morning. I wanted to first just kind of follow up on Q4 and the outlook for the comp. So, you’re run rating at about a 4% average now. But, your holiday compare, if you go back over sort of like a multiyear period, is actually kind of easier for sort of like doing stacks versus ‘19 because that ‘19 comp has some calendar shift in it, which I think was 180 basis points back then. So, I guess, my point around this is, as we think about the outlook from here, is 4% really the best way to look at it, because on a sort of three-year basis, it seems like it could be a little bit better than that?
J.P. Towner: I mean, 4% is where we’ve been pacing at in Q3 and Q4 so far. How will the holiday season unfold, we still have very important weeks ahead of us that will tell us the final answer. But the pace of our business so far has been on the two-year average of 4%. And holiday sales last year were good. And so, when we look and we think about our Q4 performance, the further we can go in terms of providing color is how we’re doing as of now, and it’s really 4% two-year average, which has been consistent since, let’s call it, the reopening of Ontario in the second half of Q2. So, that’s really where we’re seeing the business pace at this point, Ed.
Edward Kelly: Okay. And then, I wanted to ask you about on the supply chain side, actually on consumables. We are hearing in the U.S. some dollar store players are having some issues on sourcing on the consumable side. I’m just curious if you’re seeing any of that and if that is somehow weighing on comp at all?
Neil Rossy: It’s more challenging, no question about it. It’s more challenging from a good part of the all manufactured goods at this point in time. And I think part of that discussion, in many cases, although they don’t provide color, is simply that they’re more expensive. And so, at a certain point, they’re saying that those goods aren’t available to them, but they mostly mean that they can’t afford those goods anymore. Because the manufacturers of the world have not, in general, stopped making goods they make. They’re just more challenged by the cost factors that affect them, like the cost factors that affect everyone, namely raw materials, labor, logistics, et cetera. So, all-in-all, I would tell you, it’s more challenging to source all those goods, but the goods are still available, as a rule.
Edward Kelly: Okay. And then, just one last one for you. I just want to actually go back to that question that Karen really was trying to just ask and maybe a different way. If we think about, what is known today from a cost perspective, how competitors are reacting, what your potential offsets are, as we look at gross margin into next year. I’m kind of curious as to whether you could help us with how wide is the range of potential outcomes? You’re running now right above 2019 levels from a gross margin perspective. Is there risk to that could be lower? I could just -- I don’t know if there’s any way that you can help us with that at all, but probably give a shot.
J.P. Towner: So, look, in terms of the different cost headwinds and the tailwinds and the levers, I think that’s as far as we can go at this point. Because I’ll tell you, Ed, the key endpoint that we don’t know is how the competitive sets will evolve next year. And that’s something that we’re watching SKU by SKU every day. And we’re adjusting our strategies accordingly. And we can’t predict how it’s going to evolve. And the fact that we’re price follower and not a price setter makes the discussion on -- that we’re trying to have, a little bit hard to have at this point, because we don’t know how things are going to unfold next year. And it’s something that we’re watching on a daily basis. But we know the headwinds on freight and inflation and we know the levers on pricing, on FX that we’ve been using in the past and that we’ve used so far this year. So, those levers are at our disposal. And it will really be a function of maintaining our relative value, doing what’s best for our brand and for our customers over the medium to long-term. And we have the levers at our disposal to manage those headwinds, just as far as we can go at this point.
Operator: Thank you. This will conclude today’s conference call. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.